Operator: Good morning, ladies and gentlemen, and welcome to the Spin Master Corp. First Quarter 2025 Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, May 1, 2025. I would now like to turn the conference over to Sophia Bisoukis. Please go ahead.
Sophia Bisoukis : Thank you, Joelle. Welcome to Spin Master's Financial Results Conference Call for the first quarter of 2025. I'm joined this morning by Max Rangel, Spin Master's Global President and CEO; and Mark Segal, Spin Master's Chief Financial Officer. For your convenience, the press release, MD&A and consolidated financial statements are available on the Investor Relations section of our website at spinmaster.com and on SEDAR+. Before we begin, please note that remarks on this conference call may contain forward-looking statements about Spin Master's current and future plans, expectations, intentions, results, level of activity, performance, goals or achievements and any other future events or developments. Forward-looking statements are based on currently available information and assumptions that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such assumptions will prove to be correct, and many factors could cause actual results to differ materially from those expected or implied by the forward-looking statements. As a result, you are cautioned not to place undue reliance on these forward-looking statements. For additional information on these assumptions and risks, please consult the cautionary statements regarding forward-looking information in our earnings release dated April 30, 2025. Except as may be required by law, Spin Master disclaims any intention to update or revise any forward-looking statements, whether because of new information, future events or otherwise. Please note that Spin Master reports in U.S. dollars and all other amounts today are expressed in U.S. currency unless otherwise noted. I would now like to turn the conference call over to Max.
Max Rangel: Good morning, and thanks for joining us. We had a solid start to 2025, and thanks to the efforts of our teams, we drove an increase in total revenue while also delivering increased profitability in the quarter. Our performance reflects the power of our three creative center approach and global appeal of our toy brands, entertainment content and digital play experiences. We are pleased with our revenue performance from toys. Toy gross product sales increased just under 19%, demonstrating our team's commitment to innovation, the expansion of licensed partnerships, team's commitment to continued momentum of our core brands, including Melissa & Doug, which grew year-over-year. Several global theatrical releases for which we have licensed products began to drive revenue. In Q1, Superman and How to Train Your Dragon began shipping and Jurassic World and Gabby’'s ’s Dollhouse will ship later this year. From a POS perspective, Spin Master's POS was down 6.4% for Circana. In comparison, the industry's POS was up 1.1%. It is important to note that the majority of the industry's growth was driven by adult targeted building sets, strategic trading cards and sports trading cards, categories in which Spin Master does not compete. We capture market share in many of the categories we play in, including vehicles, plush, dolls and infant toddler preschool. In fact, we retained our leadership position in the infant toddler preschool category, thanks to the combination of our strong owned and IP license, including PAW Patrol, Melissa & Doug, Ms. Rachel and Gabby's Dollhouse. Let me now address the issue regarding our toy business that I am sure is on everyone's minds, U.S. tariffs on China and other countries. The timing, extent and enforcement of the potential tariffs on goods entering the U.S. remains very fluid, and we continue to monitor trade policy developments closely. The industry is working hard to get the message across, which is very simply put, safe Santa's supply chain. Given these complexities and uncertainty related to the implementation of global tariffs, we are withdrawing our 2025 guidance. Now let me tell you what we are doing to mitigate the impacts of tariffs based on what is within our control. Our actions break down into four primary buckets: procurement, supply chain, pricing and cost management. Regarding procurement, over the past decade, we have built a diversified global toy supply chain. Since the imposition of tariffs, we have aggressively sought to move more production for the U.S. market out of China for the second half of 2025, primarily by increasing production in Vietnam as well as India, Mexico and Indonesia. This puts us in a much stronger position than many others in the industry. China sourced production for '25 will, where possible, be focused on non-U.S. markets. Our major theatrical releases this year are, for the most part, coming in from outside of China. We have been operating in Vietnam for close to 10 years, Mexico, 8 years; India, 7 years. And as you can tell, we're far more established across these markets and with more capacity than most of our competitors, which represents a potential opportunity for us. From a supply chain perspective, we are actively looking at managing our inventory levels globally by moving non-tariff inventory from Canada, Mexico and Europe to meet U.S. demand. We are also looking at different shipping methodologies to minimize the impact of the tariffs on retailers and ultimately consumers. I want to thank our global procurement, supply chain and IT teams who have been working tirelessly to make this happen. These actions aim to preserve margins where possible, protect and potentially grow the company's market share and meet consumer demand. And while we are able to leverage manufacturing from other regions in our global supply chain footprint, many companies cannot. We expect that there could be gaps in inventory availability in the fall, and these gaps might create opportunities for us. Now despite these mitigation efforts, there will still be a negative impact to profitability. Neither we nor our retail partners will be able to fully absorb the higher tariff costs. Cost increases cannot be offset -- that cannot be offset will result in higher prices to our customers and will likely be passed on to the end consumers in the U.S. We are currently in discussions with retailers regarding price increases, and we remain focused on maintaining price competitiveness and delivering strong value propositions across our portfolio with particular emphasis on lower price points. Now regardless of the level of the price increase, we need to aggressively manage cost. We are seeking to manage profitability and liquidity through cost takeout and CapEx reduction to protect profitability margins and cash flow, and Mark will comment on this more specifically later. Within entertainment, we are continuing to develop our third PAW Patrol movie, which will launch in theaters in July '26 as well as new seasons for both PAW Patrol and Rubble & Crew. We are excited to begin showing seasons 1 and 2 of PAW Patrol Netflix in the U.S. for the first time, and it starts in July. Turning to Unicorn Academy. We continue to expand the linear distribution and just dropped the first of two specials planned for 2025 on April 5th on Netflix, which once again entered the top 10 kids show in many markets. We spoke to you in February about our strategy in digital games to refocus on Toca Boca and Piknik in 2025. That strategic focus and investment has begun to deliver results as we recorded the highest revenue for digital games in the past 8 quarters. Within Toca Boca World, our new features and new content are built upon our new and evolving live services tech stack, which is allowing us to release at a faster pace and rapidly testing what resonates with our global player community. We are extremely pleased with some of the metrics that we're seeing, including higher average revenue per paying user. Within Piknik, we have expanded the app bundle offering to include PAW Patrol Academy, providing even greater value. We have seen solid cost per acquisition metrics from PAW Academy, showing demand for our branded IP. We remain committed to delivering on our own purpose of creating magical play experiences for kids and families around the world. Our ability to innovate and to broaden our portfolio, supported by our geographic footprint, talented team and strong financial position gives us confidence that we can continue to deliver long-term growth and shareholder value. Before I turn it over to Mark, I want to take a moment to recognize his significant contribution to Spin Master as he looks forward to his retirement as CFO. This will be Mark's final earnings call, and I want to thank him for helping us grow, expand and mature to the leadership position we hold today. Mark has helped Spin Master build a strong foundation financial platform that provides us with the stability to weather crisis such as the one before us and provides Spin Master with the financial and operational flexibility we need. On behalf of our founders, our Board and our executive leadership team, thank you, Mark. I also want to welcome Jonathan Roiter, who will be joining us in mid-May as our new CFO. Jonathan brings a wealth of experience in finance, operational leadership, M&A and capital markets. He has a deep understanding of the consumer packaged goods industry and has a proven track record of supporting the expansion and growth of midsized companies. You will have an opportunity to meet Jonathan in the coming weeks. And with that, I will now turn it over to Mark.
Mark Segal: Thank you, Max, and good morning, everyone. I'm going to discuss the quarter briefly and then add to the topic of tariffs, which is weighing heavily on everyone's minds. Looking back, we're pleased to report a strong start to the year with our Q1 performance reflecting solid execution across our three creative centers in what is typically our seasonally lowest quarter. We generated $359 million in revenue, an increase of 13.6% and adjusted EBITDA of $21.6 million, up $3 million year-over-year. We continue to focus on delivering shareholder value by investing in our business, paying down debt and returning capital to shareholders through our buyback program and dividends. I will now turn to the financial performance of each creative center. Toy gross product sales in Q1 were up almost $50 million or 18.8% year-over-year, driven by innovation, growth in our licensed portfolio and Melissa & Doug. Several key licenses contributed to the growth, including shipments for the How to Train Your Dragon and Superman movies, along with Ms. Rachel. Sales allowances for Q1 were 12.9% compared to 14.5%, reflecting lower markdowns and promotional activity. The result was toy revenue of $273.7 million, a 20.9% increase, which translated to toys adjusted EBITDA loss improving by $12 million to $20.5 million. Toys adjusted EBITDA margin was negative 7.5% compared to negative 14.4% due to operating leverage from higher toy revenue. Entertainment revenue decreased by $6 million or 13.7% to $37.8 million due to lower distribution revenue from the PAW Patrol series and movie. Entertainment adjusted operating income declined by $3 million to $26.1 million, but adjusted operating margin increased to 69% from 66% as a result of lower amortization of production costs and lower marketing expenses. Digital Games revenue increased by $1.8 million or 3.9% to $47.8 million, driven by increased in-game purchases in Toca Boca World and growth in subscriptions across Piknik and PAW Patrol Academy. The initiatives we outlined at year-end to enhance our ability to capitalize on strong player acquisition trends are delivering as expected. Toca Boca ended Q1 with 58 million MAU, up 6% compared to the same quarter last year. In Piknik, we saw a steady continuation in the growth of our subscriber base, and we ended Q1 with approximately 488,000 subscribers, up over 13% compared to 430,000 at Q1 2024 and 455,000 at the end of 2024. Digital Games adjusted operating income declined by $5.7 million. Margin decreased from 33% to 19.9%, primarily from investments in paid user acquisition. Moving back to our consolidated results. Adjusted gross profit increased by $17.8 million to $194.9 million, driven by higher toy gross product sales and revenue. Adjusted gross margin this quarter decreased by 180 basis points to 54.2% due to the higher proportion of gross profit contributed from the Toy segment. Adjusted SG&A increased by $12.5 million to $186.1 million. Adjusted SG&A as a percentage of revenue declined by 310 basis points to 51.8% from operating leverage. We realized $6.5 million in total net cost synergies for Melissa & Doug, bringing our total annualized net cost synergies to $21.6 million against our target of $25 million to $30 million in run rate net cost synergies by the end of 2026. Turning to the balance sheet. We ended Q1 with inventory of $180 million. Given the recently announced tariffs, our inventory level positions us well in the near term as retailers look to replenish stock heading into the second half of 2025. We ended Q1 with $153 million in cash. In Q1, we returned a total of $30 million to shareholders, $21 million through the buyback program and $9 million in dividends. We also reduced our borrowings by $30 million and ended Q1 with approximately $360 million in net debt and a leverage ratio of 0.8x, including leases. The combined cash balance and credit facility availability gives us over $500 million of liquidity. The defensiveness of our balance sheet and the insulation provided by our strong cash generation gives us a high level of confidence as we navigate these uncertain times. As we work through various scenarios related to tariffs, our balance sheet strength, coupled with our global footprint and geographically diverse manufacturing and retail partnerships, positions us to be more agile and resilient than many of our competitors. Regarding tariffs, the timing, extent and enforcement of tariffs remains fluid, as Max described, which introduces meaningful uncertainty to the remainder of 2025 and which makes forward-looking projections very challenging. As a result, we are withdrawing our 2025 outlook previously provided on February 24, 2025. Let me add a few points to the commentary Max provided earlier. Please note that this data is included in the supplemental deck that we have posted to the Investor Relations section of our website. Our Toy segment represents approximately 85% of our total revenue, of which approximately 50% is from the U.S. and 50% from non-U.S. markets. The remaining 15% of our total revenue comes from our Entertainment and Digital Games segments. We want to continue to accelerate the growth of this non-toy part of our business. Taking this revenue breakdown into account, this means that approximately 57.5% of Spin Master's total revenue is not subject to tariffs and in the case of entertainment and digital games does not have a physical supply chain at all. This geographic and segment diversification continues to provide revenue and margin protection against global trade pressures on the U.S. toy market. Of the approximately 42.5% of our total revenue that is represented by the U.S. market, approximately 55% of our blended total Spin Master and Melissa & Doug toy production is sourced from China and 45% from outside of China. When you do the math, this implies that approximately 27.5% of our toy COGS is subject to the 145% tariff. Toys not produced in China are currently sourced from Vietnam, India, Mexico, Indonesia and the European Union, representing 22.5% of our toy COGS and which is subject to a tariff of 10% presently. By the end of 2025, our target is to produce approximately 70% of toys for the U.S. market from outside of China. By the end of 2026, we are targeting to have 75% to 80% of toys for the U.S. market produced outside of China. This will be a major accomplishment and underscores the strength of our supplier network and the agility of our global procurement and supply chain teams. We are executing against the four strategies that Max described to mitigate the impact of the tariffs. We are actively monitoring all developments and are taking measured steps to protect the business while also continuing to invest for growth. Our goal for 2025 is to generate over $100 million in cash flow savings through a combination of cost takeouts and CapEx reductions. To conclude, today is my last Spin Master earnings call. I'm retiring as Spin Master CFO, 10 years after our IPO in 2015 and after 20 years in total. It has been an honor to work with the founders, Ronnen, Anton and Ben and alongside such a talented management team to help guide the company through periods of growth, challenge and transformation. I want to thank all of you, our investors, analysts and all of our stakeholders for your engagement and support over the years. I have full confidence that Max and the new CFO, Jonathan Roiter, will do an outstanding job going forward. Thank you again, and I look forward to sharing in Spin Master's continued success in the years ahead with all of you. Operator, that ends the formal part of the call. Please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Luke Hannan with Canaccord Genuity.
Luke Hannan : Congratulations, Mark, and best of luck in your next chapter. I think we'll start with the topic de jour being tariffs. Max, you touched on in your prepared remarks, you have several levers to pull when it comes to being able to mitigate the impact of tariffs. Maybe just a two-part question to start. One, you outlined the sort of different buckets that you have being changing procurement, supply chain management, cost savings, passing through price, et cetera. Can you give us a rough idea of which of those buckets you intend to rely on more so than others, if so? And then secondly, when we think about the goal that you have of being able to move more of your production or sourcing rather outside of China into some of these other jurisdictions, can you give us an idea of how we should think about the impact on lead times, if any, any impact when it comes to FOB versus domestic, et cetera, some other considerations to think about as you get to that target?
Max Rangel: Great. Luke, I think I'm going to start with the four as follows, procurement first. And I want to be, as Mark said, very clear about what he stated, which is we expect that by fourth quarter of 2025, 70% of the items coming into the U.S. will be coming from countries outside of China. 70% of items coming into the U.S. in Q4 will be from outside of China. And the good news for us is that if I were to break it down further, it's going to be about close to 100% of items on preschool coming from outside of China by Q4. Wheels & Action is already out of China at 100%. Activity is almost 100%. And so quite a bit of our items that are the main core brands are going to be coming from outside of China. Mark touched on the theatricals coming mostly from outside of China as well. We are well positioned. That's the most important thing we'll do. When it comes to cost control Mark used a figure he expressed over $100 million in a combination of cost takeout and of course, CapEx. And we're balancing, taking those steps to not just continue to drive the business this year in the second half, but of course, drive innovation in '26 and beyond and give us optionality as we are well positioned, as you can tell from a supply chain perspective. When it comes to supply chain, we have basically items across Europe, Mexico, Canada that we're able to, given the fact that they're non-tariff and some of the items are global, basically redirect to the U.S. What it means is that we have items in China that would have actually made their way to America that will now be sent to Europe, Canada and Mexico. And I think those are the most important components before I get to the obviously important pricing consideration. So after doing all that, and you can imagine, you do pricing at a SKU level. So now that we have the ability to source quite a bit of our items from outside of China, the impact of cost increase on those items is less. And so therefore, we're working with retailers in close partnership to make sure we have great value equation when we get to the season. And so the pricing for us will be an important consideration. And I can tell you with confidence that close between $0 and $20, close to 50% of our items will be priced in that range. It goes to about 70% when you go to $30. And between $30 and $50 is really all about the new WOW toys that kids will be asking for and that you got to see for those of you who attended at Toy Fair in New York. I hope that gives you context.
Mark Segal: Luke, there was a second part of the question. What was the second part?
Luke Hannan : The second question was more specifically about the impact of moving from China to some of these other jurisdictions. Obviously, you are going to be saving quite a bit on tariffs. But what should we be thinking about or what should investors be thinking about when it comes to the impact, if any, when it comes to lead times on that product? And then anything perhaps when it comes to the mix of FOB versus domestic, if there's anything we should be thinking about there?
Max Rangel: Yes, no change.
Luke Hannan : Okay. Great. And then so for my follow-up here, and then I'll pass the line. So when it comes to, I guess, the -- what is that specifically that you're hearing from retailers today? I mean, you can correct me if I'm wrong. I know that you're in constant dialogue with them. But typically, those talks up a little bit more closer to the summertime when it comes to thinking about the assortment and the back half then. So I mean, what exactly are you hearing from them today when it comes to either consumer behavior? I don't know if it's possible for you guys to share anything on POS trends today, but if so, that would be great. But what specifically is it that you're hearing from them when it comes to perhaps the ability to pass through price and also what they're seeing for consumer behavior, specifically for toys thus far in April and into May?
Max Rangel: Sure. I think as it relates to fall '25 and specifically, I mean, some retailers are in close partnership looking at their planogram set dates and being agile in basically moving those so that we can actually get, and I'm sure beyond us, people can get them products so they can set those for the holidays. So typically, those would have been -- if you -- I mean, you've been with us for a while, typically July, you can expect that those will shift. So that's one key consideration and key action item that's happening. In terms of the consumer demand, consumption, remember, through the year-to-date is highly affected by basically the shift of Easter. But I can tell you, in every holiday so far this year, we've seen consumption as we would expect. And taking outside the categories where we don't compete in those we compete, we're seeing good takeaway.
Operator: Your next question comes from Brian Morrison with TD Cowen.
Brian Morrison : Mark, it's been a pleasure and congratulations.
Mark Segal: Thank you, Brian.
Brian Morrison : Max, I want to circle back to the China exposure. It sounds like you're able to mitigate a lot of the sourcing, but -- and especially with your primary lines. But the retailers, as the previous question asked, like are we seeing some prebuying? Are the retailers willing to pay up? Are we seeing cancellations, reduced orders? Maybe just what you're seeing in general as it comes to the China exposure?
Max Rangel: No, I think we're not seeing cancellations. But you, as you have read in the press, would have read that it was halted a few weeks back. And I think those orders are resuming. And so that's what we're seeing. And so we're basically very optimistic as we go forward given our diversification footprint. But no, no cancellations.
Brian Morrison : Okay. And pull forwards, did you see any of that?
Max Rangel: Pull forward, no.
Brian Morrison : Okay. And then maybe for Mark, just you've got this encouraging digital game acceleration, but clearly at a cost to do so. What is the strategy here in terms of driving this digital games revenue while managing to wean yourself off the investment to drive operating income? Or is it simply that you're going to outgrow this investment over time?
Mark Segal: Yes. So Brian, I think you're referring to the increase in paid user acquisition in the digital games.
Brian Morrison : Yes.
Mark Segal: And so obviously, let me answer it by saying, let's look at it through the lens of Toca and then through the lens of Sago Mini with Piknik because it's two different business models. As you know, in Toca, it's in-game purchases. And what we've seen is that we get a very effective return on investment on paid user acquisition in that space. We've seen higher average revenue per paying user. We're seeing higher conversion rates. And so the ROI on that user acquisition spend, I think, is very effective in terms of driving the top line and profitability. In the subscription business, it takes a little bit longer to see the returns being generated. So we are seeing increases in subscription numbers. As you saw, we reported higher increases over the quarter and relative to year-end. So we're seeing growth. We have to watch our user acquisition spend to drive those subscribers because you actually get a return over a period of time, which we call our lifetime value or LTV. And so the model of managing our LTV to the cost of that user acquisition is something that's very live. We started getting a little bit more aggressive in Q1, and we're going to watch that very carefully to make sure that we are balancing both growth with profitability in our subscription business.
Brian Morrison : Okay. And your strong balance sheet, do you plan to be active with your NCIB?
Mark Segal: Yes. We continue to be active on the NCIB, Brian. We just had the NCIB renewed to March 7, 2026, for just under 2.5 million shares. We actually bought back 1.2 million shares in Q1 for about $22 million. So we've been pretty active on the NCIB. Our previous NCIB was fully utilized. That was the '24 to '25. And then the '25 to '26 will continue to be active, as I've just described.
Brian Morrison : Enjoy your retirement, Mark.
Mark Segal: Thank you, Brian.
Operator: Your next question comes from Kylie Cohu with Jefferies.
Kylie Cohu : Congratulations, Mark, on your retirement.
Mark Segal: Thank you, Kylie.
Kylie Cohu : I was wondering if you could talk a little bit about just how you're thinking about elasticities, if you've done any work on that recently that you could share with us?
Max Rangel: Price elasticity. Yes. So we have done price elasticity work, Kylie. But I think as you can imagine and being a student of the industry, I'm sure, there's never been the level of price increase on some of the items at the 145% tariff rate. So you have to not just use price elasticity. There's a lot of judgment and there's a lot of retailer input as well. And so the reason we've been basically honing in our pen in terms of the price points and the reason we were so aggressive to pivot on our supply chain is because there are certain price points that are going to be really difficult unless you have the WOW, very magical toys that everyone is going to want. And even then, I think we have to be very cautious to go beyond certain price points. And so we're basically trying to get as much done between 50 and below, but really below 30, to be very honest.
Kylie Cohu : And then on retail inventory, obviously, we've heard comments in the news about potentially empty shelves, and I think it is encouraging to hear that we haven't seen this big uptick in cancellations. But I was just wondering if you could talk to how inventory levels are currently, both on like a year-over-year basis and just like normal seasonality.
Mark Segal: So, Kylie, our retail inventory in the U.S. was actually down around 6% for Q1 relative to the industry being slightly up, low single digits. And I think globally, our inventory -- our retail inventory was down 1% to 2% and the industry was up slightly. So I actually think in normal -- in the normal circumstances, we actually have a very healthy inventory position. I think the quality of the inventory at retail is good. And we have $180 million of owned inventory, both from a Spin Master and Melissa & Doug perspective. And we're going to use that inventory strategically in the second quarter to fulfill demand and beyond. But overall, I think our inventory is in good shape. Max, do you want to add anything?
Max Rangel: I think you said it well.
Operator: Your next question comes from Martin Landry with Stifel.
Martin Landry : My first question, I want to dig a little bit more into the tariff impact. You have mitigation measures that you've put in place and you want to offset the remaining impact with price increases. So is it fair to say that there's a scenario where you could offset all of the tariff impacts on your costs with those mitigating measures?
Mark Segal: Yes. Martin, I think at the end of the day, the four buckets that we described that Max went through in detail, I think at the end of the day, there's still going to be an impact. And we just -- we don't know exactly what that impact is. And obviously, due to the fluidity, it's why we're actually withdrawing guidance because we can't be specific at this point. But overall, there will be an impact. It's unlikely that we're able to recover everything.
Martin Landry : Yes. Why is it then that you're not passing on all those costs as price increases? Why is it that you're going to be hurting your margins or your dollars?
Max Rangel: No. So I think most of the that we're able to mitigate out, there is still tariff on non-China source items, remember. So there's a 90-day pause and a 10% tariff on everything non-China. Those things we're mitigating quite well. And the remaining percentage would basically be price increases we're now working with retailers to pass to them, and they will ultimately pass it on to the consumer. So we are doing that. But the just sheer amount is such that you have to be cautious to not basically get yourself in a situation where you're not going to supply the market and have basically a brand that you're protecting strategically, not just for this period but for the future. And so -- and I think ultimately, as the forecast comes down for a retailer, we're just basically working with them to make sure we come out better positioned than the rest of the market.
Martin Landry : Okay. And is there a scenario -- I mean, the demand in dollars, consumers are going to spend a similar amount of dollars on toys this year as they did last year absent an economic slowdown. So isn't there a scenario where, yes, volumes are a little bit down, but that's offset by pricing. Isn't that a scenario where your sales could be somewhat stable year-over-year?
Max Rangel: Yes. I think there is basically -- there will be, given the price increase on some of the items, lower demand for those items. And you're correct, the price increase will basically catch up quite a bit of that lower unit volume. However, there will be certain items and price points that that's not going to be possible all the way. And then on top of that, you have consumer discretionary wallets that basically have other inflationary pressures, and we just don't know the impact of that fully. So we're being prudent. And so that's really what Mark alluded to. We're not going to -- and we don't see recovering 100% of the tariff just through pricing and unit declines.
Martin Landry : Okay. That's helpful. And Mark, best of luck in your future projects. It's been great working with you.
Mark Segal: Thank you, Martin. Appreciate it.
Operator: Your next question comes from Adam Shine with National Bank.
Adam Shine : Of course, Mark, happy retirement. Maybe we can just start with a topic that wasn't touched on containership fees. It's still unclear exactly what the implications of those are going to be. But Mark, can you just help us a little bit in terms of what your initial thoughts are on freight costs this year?
Mark Segal: Adam, thank you. Yes. So actually, there's a couple of things to penetrate on that particular topic. The reality is that in Q1 and what we're seeing right now is that rates have actually come down quite dramatically. And so we're actually getting the benefit of lower rates as we currently speak. There is a discussion around some kind of surcharge on Chinese-owned vessels that has been muted by the current administration, but which has not been firmed up yet. So we don't know where that's going to go, Adam. And we're not really modeling anything on that because we just don't know what it looks like. But the question that we all have to ask ourselves and everyone in the industry is asking the same question is what is going to happen in the future if the tariff situation becomes more clarified or tariffs go down or if they don't go down because really, the ships are potentially going to be in the wrong place, right, if demand picks up suddenly. And that could actually lead to increases similar to what we saw during the COVID years. So that is potentially a threat that is out there. But as things stand right now, rates are significantly down. I hope that gives you some color.
Adam Shine : And I realize, obviously, it's very fluid. One of the earlier questions at the start of the call did address domestic versus FOB. And Mark, you've talked about this in recent years, particularly some shifts. Hasbro a week ago talked about the presumption that they would probably have to do more domestic and obviously deal with inventory that retailers are going to be a bit more conservative around. Can you elaborate a little bit further on how you're likely to see things shifting? Because I think you kind of said not really earlier, but maybe I misunderstood that.
Mark Segal: No, let me clarify our position. And firstly, you have to understand, Spin Master as a company has actually always been much more FOB orientated than some of our larger competitors. It's just the nature of our business and the way we've operated. So I don't want to compare ourselves too directly to them. They have different business models. We actually are working very closely with our retail partners on different business models. And those business models will be kind of driven towards reducing the impact of tariffs. And so we actually think that our FOB percentage will be relatively constant, which is somewhere in 55% to 60% range and might even be a little bit higher this year if things actually continue at the rate or at the rates that they are. But -- so we don't see a massive shift towards domestic in our particular case, Adam.
Adam Shine : Okay. And then just maybe lastly, you're pushing very aggressively. This is probably as aggressive as we've seen Spin Master in terms of looking for cost savings and obviously being forced to do so. But when we hear about all the moving pieces with the mitigation efforts, in particular, around supply chain and the reality that you're going to be doing this very much in real time and heading into your seasonally important back half of the year. Can you, Mark or Max, maybe talk to how much work the team has already been doing either before April 2 or subsequently? And also, how should we think about how much more of the heavy lifting ultimately potentially skews into the fall period?
Mark Segal: Okay. So just to reiterate, Adam, what I said on the call, we have set a target of exceeding over $100 million in cost reductions and CapEx. So one of the things that we did say to you last quarter in February when we released our year-end was that CapEx rates are going to be higher than they were last year. We are looking very hard at CapEx and potentially deferring a fair amount of CapEx into '26 and beyond, and that's already underway. So a lot of that's already done. On the sourcing side, as Max described, the amount of progress that we've made already is very significant. And then there are other programs that we're working on in terms of absolute cost reductions, many of which we've actually already started and executed and others will continue for the balance of the year. So I would say, Adam, overall, in terms of that $100 million plus cash savings target, I think we're well on our way, but we still have some work to do for sure.
Max Rangel: I want to just, Adam, give you a bit more context. So part of the reason that it's not impossible is that we've been doing this for a while. So if you take Preschool PAW Patrol, for example, a very important brand for us, we have been dual sourced on the great majority of our line for quite a while. We've been basically doing this for over 5 years. So therefore, to shift that sourcing is significantly easier. It's a little bit different when you take something like the BT Hamster ball, which would have been made in China. Now we'll make that in a place other than China, and we'll still do it by Q3, Q4, so we can supply the demand. And so that requires incremental work, but you can imagine that all the lines will require the same level of work. And so your question is a good question, but we are well positioned to absorb that.
Operator: Your next question comes from Drew McReynolds with RBC.
Drew McReynolds : Congrats, Mark, and happy retirement, of course. Two for me. First, maybe over to you, Max. Some of your toy peers talk about the lobbying and advocacy effort that's underway for the industry and getting the message through with respect to the treatment of toys. I'm just wondering, can you kind of drill down a little bit more on if there's any real progress with that effort, if there's any kind of further steps that are definitive here looking forward? And then secondly, maybe to you, Mark, I appreciate all the tariff guidance and perspective you've given us under the assumption, and I know this is a big assumption at this point that the 145% does go down. Have you -- are you able to be at a point of whenever that percentage is put firmer into place? Is it kind of a sliding scale of impact where once you get a percentage, you can provide us with enough visibility to provide an update on kind of financial impacts at that percentage? Or are there other bigger moving parts here that you're focused on?
Max Rangel: Okay. So the first part of the question. So the U.S. Toy Association is absolutely taking the leadership position to get to zero reciprocal tariffs, and they basically engage with 20-plus global toy associations, including those in Vietnam, China, India, et cetera. And they've made great strides to basically get to the White House, both the Department of Commerce and the Treasury, which is where a lot of these decisions are being made. And more work is ahead of the group, and we are all participating to be very clear. Nothing has yet come out of it via President Trump, but it hasn't been for lack of all the different players making great efforts to actually get to the right people in the White House. So you can expect that, that effort continues, and it's not completely unknown to everyone in our industry that this group is doing a great job basically getting the voice to those who need to decide. So we'll continue, but that's the effort.
Mark Segal: So, Drew, just to come back to the tariff. And just to remind you and everyone, when we actually had the call on February 24, the tariff rates that were being muted at that time were between 10% and 20%. In fact, it started at 10%, then it went to 20%, then it went to 54%, then it went to 125 and then it went to 145. And so to answer your question, which I think is a very good question because you're trying to figure out how to model our business going forward, in the 10% to 20% range of tariffs, I would say to you, it would be relatively comfortable for Max and I to give you forward-looking guidance and to be relatively specific about how we would handle that, right? We're comfortable in that range. In the 54% range, it starts getting a little trickier to do that because there are more unknowns in the $125 million to $145 million range and $145 where we're at now, it becomes very difficult, which is why we really are not comfortable to give guidance at this point because to Kylie and Martin's questions earlier about price elasticity and overall demand at 145%, when you have 70% of our product shipping in the second half of the year, becomes very difficult to model your business because you don't know what your orders are going to be for the second half and then you don't know the impact on overall demand and price elasticity and volume impacts. And so when you're north of 100%, we're in a very difficult place to give forward-looking guidance. So I hope that gives you some context.
Drew McReynolds : Yes, it does, Mark, and definitely understood all the other dynamics.
Operator: And your last question comes from David McFadgen with Coremark Securities.
David McFadgen : So first of all, congratulations, Mark. All the best in the future.
Mark Segal: Thank you.
David McFadgen: And then just on -- like we just focus in on '25. Just given the long lead time in the business and you probably already got most of the toys produced or they're being produced as we speak. I mean -- and these tariffs come in, isn't it really difficult to really do anything for '25 and what we're really talking about is '26 and beyond?
Max Rangel: David, no, I think as I was just mentioning, we are dual sourced in quite a few of the items. So where we are dual source, we're able to pivot with quite agility where we have not been dual source in the past. We have great partners in different places like Vietnam, India and Indonesia, whom we work with. And so we are basically along with retailers setting back planograms, right, from July to, call it, October, able to make that up. So we have an incredible team in Asia of engineers and designers. And so it's not basically -- we're not starting from scratch. We've been doing this for a while. So that's what allows us the agility to basically go do it.
David McFadgen : But I mean, we're talking about very high tariffs on China, but the U.S. is also putting in very high tariffs on basically all the Asian countries. So you can try and source it from different Asian countries, but maybe they're not at 145%, but they're, I think, in the 30%, 40% range, which is still quite a bit?
Max Rangel: They're at 10% for now in their pause time, which is 90 days. But the arbitrage between some of the places we're going to in 145 is huge. And so we're taking the risk. And importantly, we'll be dual source. We already can make it in China. So once again, we are just giving ourselves optionality.
Mark Segal: I think that was the last question, operator. So let me thank you all again. And I'll be listening to the call for the second quarter and not participating. But thank you all, and the next call will be in July, right? So talk to you then. Take care. Thanks.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.